Operator: Good afternoon, everyone. Thank you for standing by. My name is Ann, and I will be your conference operator today. I would like to welcome everyone to the NortonLifeLock Fiscal 2021 Third Quarter Earnings Call. Today’s call is being recorded and all lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer session. At this time for opening remarks, I would now like to pass the call over to Ms. Mary Lai, Head, Investor Relations. Miss, you may begin.
Mary Lai: Thank you, Ann, and good afternoon, everyone. Welcome to the NortonLifeLock fiscal 2021 third quarter earnings call. Joining me today to review our Q2 results are Vincent Pilette, CEO; and Natalie Derse, CFO. As a reminder, there will be a replay of this call posted on the IRwebsite along with our earnings slides, press release and supplemental materials defining our non-GAAP metrics. I’d like to remind everyone that during this call all references to the final metrics are non-GAAP and all growth rates are year-over-year unless otherwise stated. A reconciliation of non-GAAP to GAAP measures is included in our press release which is available on our IR website at investor.nortonlifelock.com. Today’s call contains statements regarding our business, financial performance and operations, including the impact of the ongoing COVID-19 pandemic on our business and industry, which may be considered forward-looking statements and such statements involve risks and uncertainties that may cause actual results to differ materially from our current expectations. Those statements are based on current beliefs, assumptions and expectations, and speak only as of the current date. For more information, please refer to the cautionary statement in our press release and the risk factors in our filings with the SEC and in particular our annual report on Form 10-K for the fiscal year ended April 3, 2020, and recently filed quarterly reports on Form 10-Q. And now, I will turn the call over to our CEO, Vincent.
Vincent Pilette: Thank you, Mary, and good afternoon, everyone, I hope you are all safe and well. As we embark on 2021, I think it’s important to recognize the sense of uncertainty and the ongoing challenges that we all face as individual or as a society. Despite the social, economic and health issues we are facing, I’m hopeful that collectively we will emerge stronger and more united. At NortonLifeLock, the safety and well being of our employees is our utmost priority, and I want to thank each and every one of them for facing all those challenges, while continuing to show a deep commitment to drive our vision of protecting and empowering people to live the digital life safely. A lot has happened since our last earnings. On top of delivering another solid quarter, accelerating our growth and adding some exceptional talent to our team and our Boards, we also are proud to have been recognized by the Human Rights Campaign Foundation for earning a top score on the 2021 Equality Index.
Natalie Derse: Thank you, Vincent, and hello, everyone. For today’s discussion, I will focus on non-GAAP financials starting with our Q3 results and then provide our outlook for Q4. We delivered strong performance in Q3, with growth year-over-year and quarter-over-quarter across our key metrics. Our Q3 revenue was $639 million, up 6% year-over-year and above the high end of our guidance. We accelerated reported billings growth to 10%, including a 2-point positive impact from FX in our ending contract liability balance. Our growth momentum was driven by broad base strength across all geos and products, as well as a successful holiday season. Our total direct customer count increased to 21 million, adding 334,000 customers quarter-over-quarter and 876,000 customers year-over-year. This was our fifth consecutive quarter of net customer adds sequential. Our customer retention rate, an unit retention metric remained stable at 85%. Our monthly average revenue per user or ARPU was over $9 this quarter, up 1% year-over-year and stable quarter-over-quarter. As we continue to grow our customer base, it is important to note that our first year ARPU and retention rate for newly acquired customers is generally lower than our total average. As we explore new business models and add more customers globally, ARPU can vary as our mix changes. We will look for opportunities to improve ARPU and first year retention as we continue to grow and diversify our business.
Operator: Yes, ma’am.  Our first question comes from the line of Gregg Moskowitz from Mizuho. Your line is open.
Gregg Moskowitz: All right. Thank you very much. Good afternoon, guys. Congratulations on a good Q3.
Vincent Pilette: Hey, Gregg. Thank you.
Gregg Moskowitz: So, Vincent, you’ve invested a lot more in marketing over the last 12 months and it seems pretty clear, inclusive of these results, that you’re -- that you’ve already seen a really good yield on those investments. So looking forward, how much more room for improvement do you see with regard to driving traffic to the site and increasing monetization?
Vincent Pilette: Yeah. And it’s important to note that your marketing investment is never done in a vacuum, right? We’ve also launched Norton 360 a year and a half ago, we introduced a bunch of new products and new functionalities into our overall portfolio, and we started to accelerate the spend or at least the penetration of certain international markets. I think as we continue to play on all three levers, including the marketing spend, if you want, we’ll be able to continue to show a good growth and with the acquisition of Avira, it may be an accelerated growth as we move forward.
Gregg Moskowitz: All right. Perfect. And then you mentioned in your prepared remarks that you’re seeing early improvements with newer customer cohorts and that’s interesting, because typically that first year renewal rate is, of course -- the first year renewals, of course, the most challenging. So my question is, your retention has been extremely stable at 85%. And I know it’s early, but given some of the improvements that you’re seeing, is there potential to get that retention higher?
Vincent Pilette: I think it’s still early, as you mentioned, the first year and the second year retention is where we have the most improvement to achieve. If I look at the out years, for those who are in the full portfolio, we achieved the 90% plus retention on a unit basis. And so we see the full potential between first year and that 90% is the improvement needed. It has many different operations, increasing the engagement, showing the value, adding new functionalities. The results I mentioned is mainly on Norton 360, when we have the ability to show cross category values if you want to the users. We’ve seen better retention rate in the first year than standalone product and still early to say, right? We’re still in the early phase of renewing the early adopters of Norton 360, but we’re very encouraged by what the numbers show.
Gregg Moskowitz: All right. Terrific. Thanks. Maybe just one quick one for Natalie. So the billings growth of 10% reported 8% constant currency. I just wanted to confirm that none of that includes Avira, and then also, how much of Avira is sitting in deferred revenue as of Jan 31st? Thank you.
Natalie Derse: Yeah. Thanks for the question. Just really quickly, Avira is not in our Q3 results at all. And so whether you think about growth or you think about the liability balance any of that it’s not going to be in our financials until Q4.
Gregg Moskowitz: Okay. Even though it was closed at the at the end of January, it’s not fitting in on the balance sheet at all, is that right?
Vincent Pilette: That’s correct.
Gregg Moskowitz: Okay. Fantastic. Thanks for the clarification. Nice job.
Vincent Pilette: Thank you.
Operator: Your next question comes from the line of Saket Kalia from Barclays.
Saket Kalia: Hey, guys. Thanks for taking my questions here and congrats on the quarter.
Vincent Pilette: Thanks, Saket.
Saket Kalia: Sure. Vincent maybe first for you, just maybe zooming out a little bit, can we just talk a little bit about Avira’s freemium business model and sort of how you see that complementing what Norton currently offers?
Vincent Pilette: Yeah. Let me zoom out even one more. We definitely see more and more consumer moving the activities online, the pandemic has only accelerated that movement and I think a lot is here to stay. Along with that, as you know, cybercriminals are adapting and we’ve seen an increase in activity there’s. And the awareness from a consumer standpoint to have a cyber safety protection is more relevant than ever. We feel good about where we are as a company both investing as we discussed organically and in organically. We have a platform, the cyber safety integrated platform we’ve launched, Nolan 360, covering three pillars security, privacy, and identity protection and restoration. And then along with that, we said, we’re going to continue and accelerate the growth by doing three things. One is, accelerating our penetration of international markets. The second one was to, while we doubled on a direct-to-consumer go-to-market model, explore new go-to-market models, partner with companies like terrorists  to penetrate Canada or explore new business models. Obviously, a membership plan was the first in the market for cyber safety. We’ll continue to build on that. And the third one is adding new functionalities. We came with some title, et cetera. When I think those three dimensions Avira plays in all three, expanding internationally, obviously, they are very strong in Europe. We were number three market share in Germany with Avira, we moved to number one and we accelerate our growth across Western Europe. And Avira to penetrate internationally, many markets will be different in asset. The second one, which you mentioned, which is the free model, going to market in different ways is very important. We have the direct-to-consumer premium model. We are doing B2B to C activities and trying to bring combined solutions to consumers. The free model for us is just one more tool in our toolbox. As functionalities could become more commoditized, we can have an offer first access for all consumers to cyber safety using some of those in a freemium model and then using the muscle of cross-selling and upselling and converting to the full portfolio over time. So it’s a way of acquiring those eyeballs, if you want an experience of on cyber safety to then later on demonstrated that -- that’s a value without spending more in marketing. And the third element is they had a few nuggets in their technology. They have very nimble and creative engineering teams and there’s some functionalities, like we mentioned, the gaming booster functioning from Bulgaria. We can integrate into our gaming additions of Norton 360. So we’ll continue to look at their capabilities from a portfolio perspective to enrich our overall experience. So that’s how Avira plays into our growth moving forward.
Saket Kalia: Got it. That’s really helpful. Maybe for my follow-up for you, Natalie. Great to see the uptick in that adds this quarter. I guess the open-ended question is, was there anything on conversion rates or renewing cohorts? I mean, it sounds like the renewal rate was maybe a little bit better, but was there anything that surprised you, especially looking at the net ads last quarter versus this quarter. What sort of changed as you look back at sort of the tea leaves?
Natalie Derse: Yeah. Thanks for the question. So look we’ve seen consistent customer adds with five quarters in a row. If I take a look -- if I step back and take a look at just this fiscal year, 600,000 net new ads in the first-half, now 300,000 in Q3, with growth across the Board, across geos, across product lines and positive contribution from holiday. Now to answer your question around renewal and conversion. Yes, we are seeing early improvements in our renewal rates related to our new customer cohorts. And now look it’s early, but I would say the Norton 360 platform is definitely helping us. It’s gaining good traction with now nearly 60% of our base. And so all in all of that’s helping us to sustain that strong 85% overall retention.
Saket Kalia: Got it. Very helpful. Thanks guys.
Natalie Derse: Thank you.
Vincent Pilette: Thank you.
Operator: Our next question comes from the line of Brad Zelnick from Credit Suisse. Your line is open.
Vincent Pilette: Hey, Brad.
Brad Zelnick: Great. Thank you so much. Hey, Vincent. Congratulations on a great quarter.
Vincent Pilette: Thank you.
Brad Zelnick: And to the team as well. I wanted to just touch on international a bit more. It’s nice to hear about the success that you’re having in Japan. And I was hoping you can just better -- help us to better understand the international opportunity broadly away from the freemium asset that you get with Avira, obviously that gives you a lot more reach. In which theaters does the value prop translate best, where might there be just too much competition and how should we think about the cost of reaching these markets?
Vincent Pilette: Yeah. When you think about international, 70% of our business is still in the U.S., 30% international. So when you look at the geographical mix of the overall market, it’s clear to see that we are underpenetrated internationally. So from a core security first entry point if you want, Avira will definitely be a strong help. But where we add a real differentiator is when we bring our expertise in privacy and identity management and restoration from LifeLock and make it in the form of an international proposal, which was always the intent when we bought LifeLock, but it was a late to come, as we were trying to find a first angle with dark web monitoring, which is really protecting your multiple digital identities that you have out there. We see a lot of very good positive feedback from consumers and so now adding to that dark web monitoring activities, the restoration and helping the consumers to restore claims when there is some, it’s definitely also a value-add and a differentiator. I think that opportunity to push Norton Identity international is broad across many countries and we’ll start with the big one. Japan was the first one where we got real, which we expanded into Australia, New Zealand, Germany, U.K. touching France and we will continue to penetrate actively all of the interesting markets.
Brad Zelnick: Thank you. That makes a lot of sense. And maybe just a follow-up for Natalie, specific to the Avira deal. Can you share with us when exactly in January did it close, just so we can understand how much of a contribution it might have this in Q4 and going forward? And as well, what’s assumed in guidance in terms of contribution and if you can speak to the deferred write-down, like, what’s the mix of duration in their portfolio? Thanks.
Natalie Derse: Yeah. The Avira deal closed on January 8th. And so, yeah, that’s when it closed. In terms of the guide, we definitely have partial impact Avira in. We have shared with you the contribution on revenue just from a growth perspective. And then from an EBITDA perspective, we will -- we have folded them in and we’ll look to really drive the business hard to get the synergistic savings we’ve communicated to you over the next six months.
Brad Zelnick: Okay. Thank you.
Operator: Your next question comes from the line of Fatima Boolani from UBS. Your line is open.
Natalie Derse: Hey, Fatima.
Vincent Pilette: Fatima you might be on mute.
Operator: Ms. Boolani, your line is open.
Fatima Boolani: Hey. Sorry about that. Maybe I’ll start with you, Vincent. And just with respect to Avira and some of the things you mentioned in your prepared remarks around, maybe introducing some Norton LifeLock functionality into that base. I know you’ve been very categorical about keeping the premium brand premium and the Avira freemium brand freemium. And so I’m curious how you bridge that gap with some of the goodness of the LifeLock capability without diluting the pricing power and the branding around Norton LifeLock. And then I have a follow-up for Natalie, please.
Vincent Pilette: Yes. And the great news with our business -- digital business, we can run a lot of experiments. So we are not concluding yet from a brand perspective. But definitely there is a way to get new consumer or address consumers on the freemium model, which has certain functionalities, mainly commoditized, provided value with commoditized. And then it’s about adding the past for upselling and cross-selling the different functionalities that today are either differentiators or offered at a premium to the market. And as we discussed, our long-term success is based on that pace of innovation, introducing new functionality all the time. As cyber criminality is evolving, we continue to increase the overall level of protection for consumers, from dark web monitoring to restoration services, focus on privacy identity, all the next level. We obviously have a very rich funnel of new ideas that we working on. And so the freemium is one way, if you want to get the first access to then see more closely the value of the overall portfolio. For the short-term as you mentioned, we’re going to keep Avira separate as one brand and Norton on the other side, but obviously we testing different way in terms of branding.
Fatima Boolani: Fair enough. Natalie, maybe shifting gears to you around the strength in the partner segment of the business. You gave some very helpful color around these partnerships take longer to get off the ground and it’s an area of investment for you. But I’m wondering what -- how we should think about some of the key drivers of strengths in this quarter within the partner business and what are some of the largest components in the partner business that we should be thinking about going forward? And that’s it for me. Thank you.
Natalie Derse: Yeah. Thanks. So from a partnership perspective, it’s pretty diverse. We’ve got a lot of different channels within the partnership business. Overall, we grew 15% year-over-year and we saw relatively broad-based strengths across all of those different channels. The one that we are really very excited about and really plays to our strengths is employee benefits. Employee benefit is really -- is a great distribution channel that widens our audience, but brings users very close to our book of business as we have the direct relationship with those users or those customers and so we’re really, really excited about that. But overall for the quarter, just overall -- just generally speaking broad stroke growth across the partner side.
Fatima Boolani: Very helpful. Thank you so much.
Operator: Our next question comes from the line of Matt Hedberg from RBC Capital. Your line is open.
Matt Logan: Great. Yeah, thanks. This is Matt Logan…
Vincent Pilette: Hey, Matt.
Matt Logan: … filling for Matt Hedberg. Natalie, if I could just follow-up on Fatima’s question. I would think Q4 is going to kind of be the strongest quarter for that employee benefit segment. Could you just talk a little bit more about kind of trends that you’re seeing in this year from that area?
Natalie Derse: Yeah. I would say, I hear you on the timing in terms, of course we’ve got to figure out from an employee benefits calendar. Most people really get started understanding what partners they’re going to do business with, et cetera, as those annual enrollments come later in the year. So we are definitely working hard. The employee benefits channel for us has been pretty consistent. We have been really working across the employee benefits channel to gain more partners and to really get our Norton 360 value proposition out there and really get the education and the audiences widened through the employee benefits channel. And then as we look forward, again, just to reiterate, we love this channel and we want to make sure that we are working with the partners in the right way. There’s a lot of different size and types of partners that we can go after from a growth perspective and we’re just really excited to take advantage of the opportunity. But you’re right, the time is now. I mean -- and you really have to pay attention to when those employee benefits annual enrollments are. So we’re trying to get after it for sure.
Vincent Pilette: And Matt, if I can add to that, taking back outside of the channel, Q3 traditionally has been more of a Norton quarter and then Q4 has been more of a LifeLock quarter aligned to the tax season in the U.S., where most of our business is protecting identity. So from that perspective on the identity side here coming into this quarter, we expect a very strong quarter built into Natalie’s guidance. Now, we also are closing Avira and doubling down on Norton Identity internationally. So that’s not linked to the tax season, but it is definitely new areas, whether it’s markets or product positioning, if you want for us to continue to accelerate our growth.
Matt Logan: That’s really helpful. And then Vincent, obviously, maybe not the first security company when you’re thinking about your core customer base as far as impact from Sunburst, but when a major breach like that is front page news all over the place. What do you think that does for the demand environment? Just in terms of kind of mind share and awareness being front and center for consumers around security and breaches?
Vincent Pilette: I think you probably right. The first level is continue to increase awareness. I can tell you the highest retention rate is when we have customers who have been breach and we help them restore what they’ve had and they customer for a long, long time. And then the rest it’s about really building up the awareness that it’s not just breach of your old data or your devices, but it’s breach of your personal data and access to your -- as an identity, if you want or digital identities now. And I think the same than the pandemic, when more activity move online, as we mentioned with that cyber criminals are adapting and have a wider scope to play in. And it’s upon us, as a company, Norton LifeLock to continue to build a portfolio to show the relevance and staying a step or two or three ahead of those risk that consumer faces.
Matt Logan: Thank you for the time.
Operator: Our next question comes from the line of Keith Weiss from Morgan Stanley. Your line is open.
Keith Weiss: Excellent. Thank you guys for taking the questions. I think most of my questions have been answered, just a couple of clarification questions, if you will. In terms of ARPU, is there any significant differentiation between like the international average ARPUs and the U.S. that we should be keeping in mind on a go forward basis?
Vincent Pilette: Yeah. I think the value perceived by markets obviously changes. The value perceived by -- also the pillars that you subscribe to into a membership level also changes, right? So if you are a Norton 360 level three customers that has most of the security password managers, VPN access, it’s one level ARPU. If you add identity protection and if you add identity protection and restoration, the ARPU will grow. And therefore from that perspective, LifeLock being mainly in the U.S., we are getting a higher ARPU in the U.S. And then as you move into…
Keith Weiss: Okay.
Vincent Pilette: … Western Europe, we start to add some of those identity protection and restoration, so we able to grow APRU, although it is less than our aggregate. And then if you move into more international closer to emerging markets, we’ll have lower ARPU. The way we’ve think about it is really about a set of all combined levers by cohort and by market. So in aggregate, we may have a pressure on the ARPU our retention rate, but as long as we continue to grow more customers and by cohort or by markets continue to improve the value we deliver to customers. We’re moving into the right direction.
Keith Weiss: Got it. That makes sense. And then on Avira for Q4 explicitly, is it 3 percentage points of growth in Q4 or did you not give an explicit number for the Q4 contribution as of yet?
Vincent Pilette: Yeah. So overall the business will contribute on an annual basis at about 3 points if our revenue grows.
Keith Weiss: Okay.
Vincent Pilette: Call it 75…
Keith Weiss: How should we think about Q4 in particular in terms of your contribution?
Vincent Pilette: Yeah. Understand. Yeah. And Natalie mentioned, we closed Avira in the early months of January. It’s not every quarter exactly the same that also a bit of seasonality. But if you modeled it, you are somewhat in the same level.
Keith Weiss: Okay. Got it. That helps. Great quarter, guys. Thank you very much.
Vincent Pilette: Thank you.
Operator: Our next question comes from the line of Walter Pritchard from Citi. Your line is open.
Walter Pritchard: Hi. Two questions…
Vincent Pilette: Hi, Walter.
Walter Pritchard: Hi. How are you doing, Vincent?
Vincent Pilette: Good.
Walter Pritchard: Two questions for you on the kind of product side. One relative to the mobile product, can you update us there on, what you’re seeing on phones and tablets and conversions and how you’re thinking about that strategy as you move into next year? And then a lot of focus here on the channels and benefit channels and so forth run Identity, I’m curious if you’ve, as you sort of put the marketing dollars into the channel -- into direct channels, how you thought about some of the device attached channels, PCs and other things that might attach traditional sort of security sales and circling back on those markets as you’ve understood customer acquisition here better?
Vincent Pilette: Yeah. Let me take the product first. Forgot the question. What is the question again on product?
Natalie Derse: Mobile.
Walter Pritchard: On mobile.
Vincent Pilette: Yeah. Mobile. Yeah. Mobile. Sorry. Sorry. Yeah. Yeah. Yeah. So mobile, very important user experience, right? And we acquire through multiple channels. I know in the past as security started on a device, then on the desktop, then moved on the laptop, then moved to a mobile. I get very often the question of, well, do you need security on new cell phone, for example? And the answer is we’ve moved to a user centric view of cyber safety, which includes security, but also identity and privacy. And we see a lot of our customers using their cyber safety dashboard and tools, boards on this stuff and on tablet or cell phones. And therefore mobility from a user experience perspective is hugely important to us, simplifying that experience as we continue to enrich the value is also a core element of our investments. So you’ll see more around simplifying making cyber safety easy to use, to consume and giving consumer full peace of mind. In term of the channels, we have a direct-to-customer and I’ll pass it to Natalie. And we have a second angle, which is partnership. It is very important for us to continue taking that user perspective to work on B2B to C offering, combining our value-add with other offering to provide full total protection to consumers, depending on their situations. And I think that’s the one we approach. It’s not only device hardware centric world, but it’s really a user service centric world that we taking as an approach. Natalie, I don’t know if you want to add anything on.
Natalie Derse: Yeah. I was just going to add, look, from a customer acquisition perspective. We don’t necessarily plan to the eyes of just LifeLock versus Norton. And I would say, it’s about reach, it’s about expanding audiences, it’s about doing it in an effective way, in an efficient way. So from our channel reach perspective we focused in the last year, really trying to diversify. Of course, historically, we’ve been more on the long form TV and radio. We’ve been diversifying into online digital channels so that we can get really relevant and interesting content out there. We can diversify the users that are coming to our platform. We’ve got really, really strong brand awareness. We’ve got brand strengths that we will continue to leverage and strengthen in the market as we diversify and really try and attract new customer acquisition, as well as get the word out there on all of our product innovation or product introductions as we build and strengthen the Norton 360 suite.
Walter Pritchard: Great. Thank you.
Operator: Next question is coming from the line of Yi Fu Lee with Oppenheimer.
Yi Fu Lee: Hi. Thank you for taking my question and congrats on another strong set of results. A question for you guys Vincent or Natalie. Just on the capital allocation front, in terms of the free cash flow, the number is now about $250 million to $300 million each quarter. I was wondering if you could just remind us on the capital allocation plans. But then to like any areas that you look to further in that, I know you just went through to other acquisitions. Just want to get your heads around how to spend this cash flow generation?
Natalie Derse: Yeah. Thanks for the question. I’ll take it. Our capital allocation strategy remains relatively unchanged. And what I mean by that is, we have said, we are -- we’ve been -- for the last couple of quarters been on track to generate $900 million of analyzed cash flow. And from a capital allocation perspective, we’ve talked about three main tenants, the first one being the dividend, which we paid the regular dividend in the quarter. And then as we progress, we said we would strike the right balance to approach as it pertain this opportunistic share buyback and acquisition. And so the actions in Q3, I think speak for themselves, in terms of, if you look back and you think back to approximately November, and all things considered, now you guys know why we didn’t necessarily, we had the acquisition activity going on. As soon as our trading window was open, we opportunistically bought the share buyback to the extent of $133 million. And so, as you take that into account high say-do ratio in terms of leveraging and maximizing the value of our capital allocation tenants. And you look forward, I would -- it’s going -- our strategy remains unchanged. We will continue with the quarterly dividend and then strike that right balance on opportunistic share buyback. But we’ve not been shy to say that we are interested in M&A activity, especially as we look forward and look for those sustainable growth opportunities.
Yi Fu Lee: Thanks for that now. Maybe just one quick one, like, in terms of like areas that you intend to look at. I know there’s international opportunity you’re taking care of that gave me the opportunity as well like, Vincent like, just talked about our heads are now like which area of focus next?
Vincent Pilette: Yeah. Well, it all started with a vision, right? We want to both protect and empower, everyone that’s connected to the internet to live their digital life safely. That’s our vision and that gives us a wide range of opportunities to fulfill that we have not fulfilled yet. And so when you look at our overall strategy, I would say, number one is continue to scale up the cyber safety platform, three pillars today, security, privacy, and identity, and building that up. As we continue to do that, adding digital services that address the vision is very important and we’ll continue to do it increasing into the gaming verticals with new functionalities not integrating some of the bull guard functionalities that are really interesting. And so we have a long list if you want of opportunities that we are working with our engineers and our product people. And then the third element of course is to continue to expand outside of the U.S. to be a truly global in reach out everyone, if I’ve been connected to the internet that have digitalized on line.
Yi Fu Lee: Thanks for that Vincent and Natalie.
Vincent Pilette: Yeah.
Operator: The next question will be coming from the line of Gregg Moskowitz with Mizuho. Your line is open.
Gregg Moskowitz: Okay. Great. Thank you for that follow-up. And first of all apologies for earlier of your billings related question, so many simultaneous earnings calls, so many January ending quarters. So got thrown for a moment there. But I did have a follow-up for Natalie. So I know that you’re a data-driven executive just given your background and now that you’ve been in this seat for several months. I guess I’m wondering, are there opportunities to leverage data in a way that you think is translating or potentially could translate into more business for Norton LifeLock?
Natalie Derse: Oh! Absolutely. I would say and I don’t know how I would answer that question. No, we just have opportunities everywhere. I think from a value and in culture of put the customer first, we have so many opportunities to use analytics to get closer and closer to the customer and understand their behaviors, understanding their needs and wants and how we can serve back the best. If I get into specifics, of course, we will continue to build out our marketing analytics, every -- but it’s not just in a silo. When I think about marketing analytics, I think customer analytics and it’s about making sure that we are at the very top of the funnel, expanding our audiences in a diverse way, in an efficient way and making sure that we’ve got the content out there that really showcases our value proposition. Everything from the expanding Norton 360 integrated platform in the suite of products that Vincent has talked about and whether you talk about where you’re at in the funnel, in terms of whether you’re brand new and we need to explain the value that we can bring to consumers globally or if you are an existing customer, perhaps, on the security side and we can find ways to share the value we can bring to your life from an identity perspective. There’s just so many opportunities to just get to as close to the customer as possible, understand where they are in their journey and in their life, and really use data analytics to predict, how we can take that next step in the customer journey. There are so many opportunities to build that out.
Gregg Moskowitz: Right. That’s great, Natalie. Thanks very much.
Natalie Derse: Operator, we have time for one more question.
Operator: And that question will be coming from the line of Shaul Eyal with Oppenheimer. Your line is open.
Shaul Eyal: Thank you so much for squeezing me in. And in addition to use of prior question, Vincent, I have more of a technology related question. I think also it is related to your Japan launch. When I look at your note and ID Advisor and your solutions associated with the gaming industry, there’s definitely plenty of dark web capabilities. Are these capabilities home grown? Do you actually use your own sensors in the dark web or is it facilitated through some third-parties? Thank you for that.
Vincent Pilette: Yeah. So we have -- as LifeLock had a mix of integrated third-party technologies and own algorithm that builds on top. So it’s a mix of the two and we’ll continue to build upon that to offer it not only in Japan, but across all countries. Someone was asking, hey, if you launch it in Japan, why don’t you launch in all countries internationally, exactly for that reason, because you want to adapt your data architecture, your sensors and your approach to the country and the data that’s relevant in each country. And so, we taking a country by country approach to build-up and the solution.
Shaul Eyal: Thank you.
Vincent Pilette: Thank you.
Operator: At this time, there are no more questions. I will turn the call back to Vincent Pilette, CEO for closing remarks.
Vincent Pilette: Thank you, Ann. The overlap between the physical world and the digital world continues to grow. More and more activities are moving online from shopping to socializing, almost every aspect of our life has a digital component. Unfortunately, many of those activities are left unprotected or weakly protected at best leaving many doors open for cyber criminals. Our vision is to protect and empower people to live their digital life safely. And while we have already accomplished a lot, since we launched Norton LifeLock over a year ago, we’re just getting started. We plan to leverage our leading technologies and integrated product portfolio, our relentless focus on customer experience, our trusted global brand, our unmatched scale in direct distribution, as well as a growth focus financial model. If I have to summarize it in four words, I would say, our future is bright. Thank you for joining and for your support, and we look forward to connecting with you very soon.
Operator: This concludes today conference. Thank you everyone for your participation. You may now disconnect.